Ivan Vindheim: Good morning, everyone, both in the room and online, and thank you very much for joining us this morning in connection with the release and presentation of Mowi's First Quarter Results of 2025. My name is Ivan Vindheim, I'm the CEO of Mowi; and together with our CFO, Kristian Ellingsen, I will take you through the numbers and the fundamentals this morning, and to the best of our ability add a few appropriate comments to them. And after the presentation our IRO, Kim Døsvig will routinely host our Q&A session. For those of you who are following the presentation online, you can submit your questions or comments in advance or as we go along by email. Please refer to the website at mowi.com for necessary details. Disclaimer, I think we leave for self study. So with the present practicalities and disclaimer out of the way, I think we're ready for the highlights of the quarter. And to begin with and on a general note, I think it's fair to say that the first quarter was another strong quarter for Mowi both operationally and biologically with seasonally a record high growth in the sea and improved biological metrics across the board to mention a few. So once again a big thank you to all of my colleagues who have made that happen. It's of course much, much appreciated. And this translated into as the second bullet point here reads an operational profit of €214 million in the quarter and an operational revenue of €1.36 billion. On 108,000 tonnes harvest volumes, which is up by as much as 12% year-over-year partly with the help of good environmental conditions both in the northern and southern hemisphere. This seems to have been mirrored across the industry this time around as the industry supply growth was up by a hefty 13% year-over-year in the quarter in Europe and 8% globally. And if you rewind the time, our numbers you haven't seen since the first quarter of 2021, and we stand in stark contrast to the first quarter last year when industry supply was down by 4% year-over-year following biological issues in Norway in large part due to a winter sore vaccine that had lost efficacy, but which seems now to have been resolved. This of course impacted prices in the quarter, which I think is fair to say were lower than our expectations. But on a positive note however our price realization is stable year-over-year indicating a good underlying demand for our products. Furthermore, our realized blended farming costs i.e., weighted production cost for salmon production countries was €5.89 per kilo in the first quarter and was somewhat down compared with the first quarter last year following the positive cost trend we have seen over the past few quarters and underpinning our expectation of a further decrease in the coming months on economies of scale. We have more harvest volumes and hence more dilution of fixed cost. Carrying on are two other divisions Consumer Products and Feed. They both delivered another good quarter, I would say, and in terms of our strategic review of the Feed division, it's well underway. And finally, as the last bullet point reads our Board of Directors has decided to distribute a quarterly dividend of NOK 1.70 per share after the first quarter. I think that does it for the highlights of the quarter. So let me move on to our farming volume guidance, and as you can see from this chart, we maintain our farming volume guidance for this year of 530,000 tonnes supported by a strong biology so far this year and seasonally record high standing biomass in sea and if anything there is upside risk to this guidance. Furthermore, next year we expect to harvest 600,000 tonnes with Nova Sea on board. And finally, let me reiterate our farming volume target of at least 650,000 tonnes in 2029. And this we will achieve through increased smolt stocking and by means of postsmolt, because we have still unutilized license capacity in Mowi in several of the countries where we operate and with postsmolt we can increase the productivity on licenses already in operation, which are to be set into operation. So Mowi's idiosyncratic growth continues unabated after the rather quiet 2010s and is now surpassing that of the wider industry and our listed peers by a large margin cementing our number one position in Atlantic salmon. Then from the grand scheme of things to more specifically about the first quarter and first key financial figures, Kristian will go in depth on all these numbers later this morning. So as not to be too repetitive, we'll just touch briefly upon the most important ones now and turnover profit I think we'll skip, as we have just been through them. So let's start with cash. Net interest-bearing debt stood at €1.88 billion at the end of the quarter and with Nova Sea on board, it would have been €2.46 billion and corresponding equity ratio of 46% indicating a sustainable pro forma debt level. Having said that and as we have said previously, we will revert to our new long-term debt target for Mowi post closing of Nova Sea. Furthermore, underlying earnings per share was €0.29 in the quarter, whilst annualized return on capital employed was 16%. And in terms of regional margins for the value chain, we will get back to all these numbers later this morning when we drill down into the different business entities. But first, the elephant in the room prices. As already said, prices in the quarter were lower than our expectations due to seasonally record high industry supply following very favorable environmental conditions, both in the northern and southern hemisphere. And further on that note, tariff turmoil in our largest single market the US has not helped the situation either. And as for the latter now the big question is how this will develop going forward. No one knows the answer to that question of course, if I may venture to make an attempt. The direct effects we believe will be rather limited, as we are after all talking about only a 9% weighted tariff on 20% of our market which all else being equal is equivalent to a demand hit of 2% if we assume a price elasticity of 1%. So, in isolation that should be manageable. We have been through far worse before. In the pandemic, we lost half of our market overnight for example and in 2014 large parts of the industry lost access to then the very important Russian market in the aftermath of the invasion of Crimea and that market is for all practical purposes a goner today. So then we believe there is more reason to be concerned about the potential indirect effect of this if the world economy slows down or takes a major blow. Personally, I'm not too worried as the salmon normally fares well in challenging times. People need food also in rainy days and it's particularly in situations like this, Mowi's integrated and diversified global value chain comes into its own, as it enables us to tailor our trade more effectively than most of our peers. And finally, it doesn't hurt being cost competitive either, which Kristian will talk more about later this morning. But first [Audio Gap] above the reference price which is the standard we like to hold ourselves to internally and measure ourselves against positively impacted by a contract share of 28% in the quarter and contract prices slightly above the prevailing spot price in addition to good harvest weights and a high quality of our fish. Then, it's time to drill down into our different business entities and we start as usual with Mowi Norway, the locomotive of our business model. And if you take the numbers first, operational profit was €155 million for Mowi Norway in the quarter, whilst the margin was €2.51 per kilo and harvest volume 62,000 tonnes. All of which are a result of improvements on all fronts in the quarter as you can see from the chart there apart from our price achievement which is down year-over-year. That's the second bar here on the chart. On strong operational performance, I would say partly with the help of favorable environmental conditions along the Norwegian coast line. And this applies to all regions in the quarter in Mowi Norway which may come across as a bit counterintuitive as Region Mid is well behind the others on this margin chart. The explanation is that Region Mid harvested very low volumes in the quarter and hence had very low dilution of fixed cost in addition to harvesting out high cost sites following issues with string jellyfish and gills last autumn. Because if you go behind the numbers, Region Mid was actually our best performing region in the first quarter, both in terms of cost of stock and in terms of growth in the sea. So consequently, we expect a lower realized production cost for Region Mid in the second quarter. Then, our farming volume guidance for Mowi Norway. As we can see from this chart, we maintain our guidance for this year of 315,000 tonnes and with Nova Sea on board we are on course for 400,000 tonnes in Norway. Then the last slide on Mowi Norway, our sales contract portfolio. Contract share was 25% for Mowi Norway in the first quarter and also that's spot on our guidance and these contracts were neutral to our earnings. As for the second quarter, we expect our contract share to be stable with relatively stable contract prices. Then it's time to drill down into our six other farming countries and we start with Mowi Scotland. Like Mowi Norway, Mowi Scotland leaves behind another strong quarter, I would say with good biological results. This manifested itself in an operational profit of €32 million for Scottish operation in the first quarter and a margin of €1.78 per kilo on 18,000 tonnes harvest volumes. And like Mowi Norway, Mowi Scotland can point to improvements on all fronts in the quarter, apart from price achievement which is down year-over-year. Then overseas to Chile. Mowi Chile posted an operational profit of €12 million in the second quarter, which is stable with -- I said, second quarter, I meant, first quarter which is stable with the first quarter last year on a slightly lower margin of €0.88 per kilo and 14,000 tonnes harvest volumes, which is somewhat up compared with the first quarter last year. In the quarter, where better prices were offset by higher cost due to that we harvested out some high cost sites in Chile in the quarter. So consequently, we expect realized production costs for Mowi Chile to come down in the coming quarters. Then following off to Canada. Mowi Canada went from losing €2 million in the first quarter last year to make a profit of €4 million in this quarter thanks to better prices because harvest volumes are down year-over-year and cost is up. Otherwise, it's worth noting that Canada has come out as the winner so far in the tariff turmoil with no tariffs on Canadian salmon into the US versus 10% tariff on salmon of all other regions. Every cloud has a silver lining they say, but it's still early days so let's see if it stays like this. Which brings us to our two smallest farming entities Mowi Ireland and Mowi Faroes. And if you take Mowi Ireland, first, our Irish operation posted a modest operational profit of €2 million in the first quarter that means with a margin of EUR 0.95 per kilo on 2,500 tonnes harvest volumes. Whilst Mowi Faroes impressed with a margin of €2.75 per kilo, and an operational profit of €12 million on 4,000 tonnes. And finally, biological metrics are once again stellar in the Faroes in the quarter, while still a more mixed bag in Ireland. Then our last farming, entity this morning Arctic Fish, our Icelandic operation. Arctic Fish broke even in the first quarter which contrasts sharply with the first quarter last year when we made €10 million in operational profit in Iceland, due to both lower prices and higher costs because harvest volumes are relatively stable year-over-year. Prices are hard to do anything about in the short term so consequently our work to reduce cost to a sustainable level in Iceland continues unabated, because neither we nor the industry are there today. So with that, I think we can conclude Mowi Farming and move on to Consumer Products our downstream business. Consumer Products posted an operating profit of €33 million in the quarter, which is up from €24 million in the corresponding quarter last year which I would say is a strong achievement as we had no help from upgrading this year contrary to last year. On the other hand, lower spot prices were a helping hand for this part of the value chain. So in many ways you can say this is some sort of a hedge for us. In terms of the market, we still see good demand for our products, underpinned by stable prices year-over-year, notwithstanding a hefty supply growth of 13% year-over-year in the quarter in Europe and 8% globally. Then, last one out this morning: Mowi Feed. The first quarter is low season for our feed operations, with all that entails. But, adjusted for that, I would say the first quarter was another strong quarter for Mowi Feed, with seasonally record-high volumes and the pace out of the starting blocks indicating new volume and earning records this year. And if you take the numbers, sold volumes were 112,000 tonnes in the quarter, which is up by impressive 14,000 tonnes year-over-year, or 14%, whilst operational EBITDA was €7 million in the quarter versus €6 million in the comparable quarter last year. And finally, feed performance was evidently strong. And, as we said earlier this morning, our strategic review of this division is well underway, and we will revert with more information in due course, but not today; it's too early in the process. So, with that, Kristian, the floor is all yours. You can take us through the financial figures and fundamentals. Thank you so far.
Kristian Ellingsen: Thank you very much, Ivan. Good morning, everyone. Hope you're all doing well. As usual, we start with the overview of profit and loss. This shows a top line of €1.36 billion, which is a record-high level for Q1 and an increase from last year on strong volumes. Operational EBIT increased by approximately €14 million from last year, following lower cost and higher volumes. Achieved global prices were relatively stable. Earnings translated into an underlying earnings per share of €0.29. Return on capital employed was 16.3%, and return on equity was 18.1%. And the difference between operational EBIT and financial EBIT was explained by the net fair value adjustment of biomass, which was negative this time around, related to the price development. With regards to associated companies, this was mainly related to Nova Sea. The operational result for Nova Sea was €1.85 per kilo in Q1 on somewhat lower prices. We still expect competition clearance sometime in the second half, and from that point, Nova Sea will be consolidated into the group figures. We then move on to the balance sheet. Mowi's financial position is strong, with a covenant equity ratio of 51%. Pro forma covenant equity ratio, including the effects of the Nova Sea acquisition, would have been 49%. And then, the ordinary equity ratio is listed here also on a pro forma basis, which would then be 46%. Total assets increased somewhat since Q1 2024, driven by fixed assets in addition to pre-payments of tax. With regards to the cash flow, NIBD was slightly up during the quarter, as we see here. The cash contribution from EBITDA was partly offset by working capital tie-up, mainly related to feed inventory. Cash outflows related to CapEx, tax, and financial items were reduced versus Q1 2024. Net cash flow per share improved to €0.14 from €0.09 in Q1 2024. And with regards to NIBD, we will revert to an updated long-term NIBD target following the closing of the Nova Sea transaction. We maintain the guidance on the cash flow items listed here for the full year of 2025, so we'll leave the details here for self-study. And the same goes for the overview of our financing, which is unchanged from the Q4 presentation. Before we leave the financial section, we want to reiterate our commitment to cost focus and cost leadership. As shown in the graph above here, blended farming cost across our different farming regions has increased in recent years driven by Feed prices. On a positive note, Feed prices decreased by approximately 8% during 2024 and we have expectations of continued decline. This will contribute to a reduction as we see it in the fuel cost for 2025 versus 2024. Cost is expected to be reduced in Q2 including also in our most important region Norway and then we expect cost to be further decreased in the second half of 2025. In addition to the Feed price effects, we are expecting positive effects of our various cost measures. This includes operational improvements such as post-smolt, Mowi 4.0, yield, automation. And we have a good starting point from our position as the number one or number two performer in the various regions. We see that also from the graph below here. On a positive note, we see now also that the three-year average shows that we are now number one also in Norway. At the end of the day, it's all about earnings and how much you earn on the licenses you have. And we find this slide here very interesting. Essentially, this slide encompasses both production efficiency, i.e. how much you get out of your licenses and cost performance because over time salmon farmers achieve more or less the salmon price. We are therefore very pleased to see that Farming Norway, our largest and most important farming country, there Mowi recorded the highest EBIT per standard license of NOK31.2 million in 2024, ahead of all listed competitors. Even if you adjust for FX, Mowi Norway is still number one. So, this is a strong slide. When it comes to cost, Feed cost is the number one cost item. Raw material market prices have improved for most input factors including marine ingredients. The two most recent anchovy wild catch seasons in Peru in 2024 were strong with regards to volumes and yield and this has contributed to a favorable raw material price development. And the first anchovy wild catch season this year started in April. This is now ongoing then and with a quota of 3 million tonnes. This is the second highest quota during the last decade. So, a positive outlook here. So, much for financials including cost. We then move on to market fundamentals in the quarter. In Q1, there was a solid supply growth from the salmon-producing regions of 8%. This was above guidance as the biological improvements were even better than we assumed. In Norway, the volume growth was 13%, driven by an improved winter sore vaccine and higher temperatures. This has led to lower mortality more individuals available for harvesting in the first quarter. Harvest growth in Norway is expected to be more moderate in the coming months. Also in the other regions, biological conditions and growth have improved. In Chile, harvest volumes increased by 4%, while biomass at the end of the quarter was up 14%. In Canada, volumes declined due to Canada West. Consumption was approximately 7,000 tonnes higher than supply, meaning that there was some inventory release in the quarter. Consumption growth was 5% including inventory movements. And then with the relatively stable global prices, this means that there was a good demand increase in the quarter estimated to around 6%. And with regards to the various regions, we see that in EU plus U.K., i.e. in Europe, consumption increased by 6%. Retail developments were good, particularly in the natural fresh category. We saw good developments in France, Germany, UK, Southern Europe. Foodservice was relatively stable. In the US, consumption increased by 6%. The fresh pre-packed category continued to drive growth and on round numbers this category increased by as much as 24%. Foodservice was relatively stable. Asia, very positive in the quarter as we see here with 13% supply and consumption growth, particularly good in China with a 28% increase and improved availability of large salmon has been positive. And the spot prices have been reduced, particularly in Europe where the superior reference price was somewhat inflated in Q1 2024 due to the challenging winter and low availability of superior salmon back then. Yes, and when looking at achieved prices, these were relatively stable on a global basis. And the higher than expected harvest volumes so far this year, should be seen in context of catching-up effect. We have seen challenging biology in recent years, no growth the last years since 2021. So 2025 is expected to be a recovery year with approximately 6% estimated supply growth. And then we expect supply to return to trend growth of around 2% to 3% in the coming years, because of regulation constraints. With regards to our own volumes, we maintain our volume guidance of 530,000 tonnes, but we are even more confident that we will reach these volumes. Then it's time for Ivan and some comments on the outlook. Thank you.
Ivan Vindheim: Thank you, Kristian. Much appreciated. And it's time to conclude with some closing remarks before we wrap it all up with our Q&A session hosted by our IRO, Kim Døsvig. As I said earlier this morning, the first quarter was another strong quarter for Mowi, both operationally and biologically, with seasonally record high growth in the sea and improved biological metrics across the board. And this has continued in the second quarter, which seems to have been mirrored across the industry this time around leading to record high industry supply growth and hence pressure on prices. Having said that, there is nothing in the number of individuals in the sea or regulation that has changed our view on limited supply growth in the coming years so in our view this is purely a catch-up effect of the three previous years of challenging biology. And whilst we're on the subject biology, we have maintained our own farming volume guidance of 530,000 tonnes this year and if anything there is upside risk to this guidance. And next year we expect to harvest 600,000 tonnes with Nova Sea on board. And in Norway, we are on course for 400,000 tonnes. Furthermore, as Kristian just showed us here, we expect our realized production cost to come further down in the coming quarters. And in terms of the market, we still see good demand for our products although this tariff situation we have ongoing is not good for anyone neither for the imposer nor the addressee. Having said that, everything that has taken place so far, I would say is well within manageable, in particular with our integrated and diversified global value chain, which enable us to tailor trade more effectively than most of our peers. But for everyone's sake, let's hope this tariff situation does not escalate. Otherwise, as you may have noticed, the Norwegian government's long announced white paper on aquaculture came just before Easter after what I think is fair to say having many postponements. Good things come to those who wait they say. But in this case, I'm not sure, because this was discouraging reading, I have to say, both the way they portray us and the solutions they prescribe, which are in characteristic labor party style more taxes and fees. And if anyone is wondering lice are the root of all evil and lice quotas are the only salvation. Just for the sake of argument, lice are mentioned times in this white paper, 97 page white paper, and that's almost 5x per page. Whilst jobs on the other hand, brace yourself are only mentioned 3x. Think of that from the labor party. So I think we can safely say that this white paper is biased, we have a job to do, so we do not end up throwing the baby out with the bath water in our eagerness to transform this industry. Don't forget that we have a lot of promising things going on such as post-smolt subsea farming and lice lasers to mention some. So let's let things work instead of up and everything in the midst of the transformation process. That's our humble advice in this. So with that, Kristian and Kim, I think we are ready for the Q&A session. So if you, Kristian, can please join me on the stage, and you Kim can administer the mic from the audience.
A - Kim Døsvig: So this time around, we'll start with a question from the web. It's from Alexander Sloane in Barclays. He has got a question about supply growth. You had guided 2% to 3% industry supply growth in February, but now you expect 6%. What has changed? Is there a chance that 2026 supply growth, which you still expect to be around 2% to 3% could also be revised up?
Kristian Ellingsen: As I commented during the presentation, we have seen that biological performance and the recovery in Norway has been even better than we thought back in February. That being said, we have seen that the industry has operated at a high-capacity utilization level with reference to the maximum allowed biomass. And we think that there is, in that case, limited growth potential versus that high-capacity level given the regulations we have. So I think 2025 will be a year where we have seen recovery from several years now with very modest numbers in practice, no growth. And that also limits the potential going forward as we see it.
Ivan Vindheim: Maybe I can add a comment to this. So it has gone fantastically well in the sea so far this year. In my almost 20 years in the industry, I can't remember we have seen this before. And in the end of the day, this is also in the hands of mother nature and she is normally not that nice two years in a row. So just to support Kristian's comments here.
Christian Nordby: Christian Nordby, Arctic Securities. When we look at fish meal and fish oil prices, they have come down a lot over the last 12 months. But your revenue kilo in the Feed segment has been quite flat since Q2. What's the reason why that's not dropping with the raw materials?
Kristian Ellingsen: Yeah. We have seen that there has been a positive development during 2024, and I think the numbers you have seen this quarter has been relatively stable then. And then with the good fundamentals with regards to the fishery season in Peru, we expect continued positive effects there going forward. But I think it's fair to say that it was sort of a little pause in the momentum now in the first quarter.
Ivan Vindheim: It's also about the feed formula and the cost of the energy you put into the feed. So it's not -- you cannot think of this on a purely linear basis. You will also play around the ingredients you have.
Christian Nordby: And in terms of the very strong biology we've seen now in the first half of 2025 compared to particularly first half of 2024, how significant is that for cost going into the sort of the second half of 2025 for Norway?
Ivan Vindheim: No, the cost for Norway is dropping and it's the entity that shows the most positive cost development. And on a positive note, that's also our biggest or largest leg. So if this continues I think you will be happy in the end Christian. But it's also about biology. So let's see how long this lasts because again, what you have seen so far is amazing and that doesn't happen often.
Kim Døsvig: Okay. Any more questions?
Alex Aukner: Hi. Alex Aukner from DNB Carnegie. So just on the year-on-year growth it's obviously been very high during Q1 and seems to be that in Q2. When do you expect the Q-on-Q growth to ease off? And second question on the retail prices. Have they started to come down or are they still at an elevated level?
Kristian Ellingsen: I start with the last question. I remember the last. So retail prices we haven't seen any major downward development yet. Usually we see that effect over time with lower prices. So that's something we expect. And then with regards to the volume development the supply outlook, we believe that you will see some more moderate growth figures in the quarters to come, but there's still, of course, higher biomass situation and this will continue to impact 2025 as a whole.
Ivan Vindheim: To be even more specific you asked about the quarter-over-quarter effect there. So I think you will see a growth quarter-over-quarter until we are approaching year end so sometime in the fourth quarter. And if you then take into account the number of individuals and normalize biology because at least that what we do in our internal forecast most likely next year will look very different because you don't have the support from the numbers in this year which we referred to during the presentation. And we've been through this before ladies and gentlemen. So at least where I come from is that we will see a repetition so it's just a matter of when. So that's our internal forecast. So we are much more optimistic about next year when it comes to prices than this year. This year there is simply too much fish in the market. Take Norway, for instance, April and May so far is up by more than 30% from Norway export volumes. That's crazy. And again then you -- to be a little bit pokier then you kill the price and that's what we have done the industry. But after rain you will have some also this time around. So hold out.
Kristian Ellingsen: Perhaps I can just also add another brief comment on the retail price question. I can also just refer to the fact that if you look to the US market which has gotten a lot of attention we see stable high retail prices even though you have seen some lower actual prices at least from Norway and more stable prices from Chile. But nevertheless it shows that demand is good as we see it. So that's something we can take with us. And again we expect also then some of this to be shifted out in the value chain and that also will then lead to some lower retail prices which can then boost demand further.
Martin Kaland: Martin Kaland, ABG Sundal Collier. You comment that global supply growth is estimated up by 8%, but the consumption is up by 5%. So that could suggest that there's some accumulation along the value chain of volumes. Do you expect that to impact price dynamics going forward or would you say that it's largely as normal and would be cleared out during the second quarter as normal?
Kristian Ellingsen: We believe this is normal. No particular effects here to mention. You see that the consumption was somewhat higher than the supply around 7,000 tonnes higher. So it's actually some more consumed than was then sent out from the regions. So again back to demand. It has been swallowed by the market. And, yes, but nothing particular I would say with regards to inventory buildup et cetera.
Ivan Vindheim: So in other words cleared out in the first half of this year so behind us.
Martin Kaland: Yes. And in terms of retail activity promotions campaigns, have you planned any more now than last year going into the second half?
Ivan Vindheim: Absolutely, we have. So the preparations are ongoing. So we have been through this before. So we know what to do.
Martin Kaland: So the average price to end consumers could actually come down already in the second half, despite that general let's say, shelf price will be more gradual decline, but there could be lower prices.
Ivan Vindheim: Yes. The shelf price will go down eventually, but you normally have a lag there. So you will get a tailwind from lower shelf price, plus promotions. So normally, what we see is, after very high growth if you look to history, you typically have built demand and then supply go down and prices go up. So let's see if, you see that again. So it's always exciting in this industry. But we strongly believe in this and act accordingly.
Q – Unidentified Analyst: [indiscernible] from DNB. Could you comment a little bit more on the very good performance in Norway, in the quarter both for yourselves and the rest of the industry? Is it a function primarily of the better winter sore vaccine, and better sea temperatures or do we also see some effects of changes to technology, farming practices, regulatory approach or any other factors?
Ivan Vindheim: Yes. So the last part of your question that takes place more gradually, and if you look to Norway we have been through a fantastic journey here, which is not finished, which we will see a further development in. But what stands out this year is, last year was very bad it was a tough year before that and the year before that again. So I would say, what we call the environmental conditions, they have been much better in Norway, along the entire coast line this year, in addition to the new winter sore vaccine which obviously, works that we see although, you cannot say it scientifically for an economist like you and myself. There is more than evidence to say that, we have something that works now. So, tailwinds from every which way. That doesn't happen often, but that's what we have seen so far. Unfortunately, there is a flip side here and that's prices.
Q – Wilhelm Røe: Wilhelm Røe from Danske Bank. Just a quick follow-up on US demand. Of course, you mentioned positive developments in retail, and potential for limited tariff impacts. But could you just share a little bit of just how customers react and sort of total demand impact short term in light of just implementing tariffs there?
Ivan Vindheim: So far, we haven't seen that effect yet, because the shelf prices haven't changed, right? So then you will see the consumer reaction or the economy is poorer, but you haven't seen that either. So it's yet to come. So it's hard to -- so it's just speculation, really. It's what we said very honestly during the presentation, we don't know and I guess no one knows. So it depends on how this develops going forward. I've said before that, if this is a 10% tariff flat that's something we can easily live with and work ourselves through. That will not be painful. But if you get more than that, then I'm afraid that this pain will be more than just a few months. So, I don't have a better answer to your very good question than this. So I know exactly, as much or perhaps as little as you do.
Kim Døsvig: Okay. That concludes the Q&A.
Ivan Vindheim: Right. Then it only remains for me to thank everyone for the attention. We hope to see you back already in August, at our second quarter release, if not before. And in the meantime, take care and have a great day ahead. Thank you.